Operator: Ladies and gentlemen, thank you for standing by. My name is Abby and I will be your conference operator today. At this time, I would like to welcome everyone to the Heidrick & Struggles Fourth Quarter and Year End Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. And I would now like to turn the conference over to Suzanne Rosenberg, Vice President of Investor Relations. You may begin.
Suzanne Rosenberg: Thank you and welcome to our 2024 fourth quarter conference call. Joining me today is our CEO, Tom Monahan; and CFO, Nirupam Sinha. We posted our accompanying slides on the IR homepage of our website at Heidrick.com and we encourage you to view these slides for additional context. Please note that, in the materials presented today, we may refer to non-GAAP financial measures that we believe provide additional insight into underlying results. Reconciliations between these non-GAAP financial measures and the most comparable GAAP measures may be found in the earnings press release. Also, in our remarks, we may make certain forward-looking statements. We ask that, you please refer to the Safe Harbor language also included in today's press release. Tom, I'll now turn the call over to you.
Tom Monahan: Thank you, Suzanne, and welcome to everyone joining on our earnings call today. I'm pleased to share that Heidrick & Struggles delivered a solid performance in the fourth quarter, a testament to our ongoing commitment to creating unrivaled value for our clients. This client focus is especially notable, given the amount of change we drove in 2024 through leadership changes and a tightened strategic focus. Our new leadership team has done an excellent job of keeping our colleagues around the world focused on market opportunities and client needs, as we more tightly target our solutions and prioritize scalability and profitability. And speaking of leadership, scalability and profitability, we are thrilled to welcome Nirupam to the leadership team and this call. He has been here less than two months and is already having a huge impact on how we perform. I'd also be remiss not to thank Steve Bondi for his exceptional impact and leadership as our interim finance leader. Today, I'll provide a brief overview of our fourth quarter results, share examples of how our approach is delivering tangible value for clients, and outline our strategic priorities. After that, I'll hand it over to Nirupam for a more in-depth look at our Q4 results, and then we'll open the call for Q&A. Let me start with a quick overview of our fourth quarter performance before Nirupam provides more detail. As context, it's no understatement to note that, our clients' jobs have gotten exponentially harder over the past several years. Complex political and geopolitical environments, on a global basis, combined with step function advances on technology, think about AI, and volatile markets for financing are just a few of the challenges on their desk. We believe that, these challenges create opportunities for our partnership with clients, as a trusted advisor to executive teams and boards, change and complexity are what our business thrives on. You can see this reflected in our revenue performance, which came in above our outlook via contributions from all of our service lines. Our core executive search platform delivered excellent results with strong performance across regions. On-Demand Talent drove growth despite the ongoing slowdown in the broader temporary staffing space. This continues to highlight our unique position in attractive market segments. And Heidrick Consulting momentum accelerated as the year closed. We also saw strong Q4 confirmations, which suggests that, we can sustain this momentum in 2025. Just as importantly, our fourth quarter top-line growth translated into solid profitability, as we maintained EBITDA margins in line with our projections. The strong fourth quarter is a fitting capstone to a year of high performance by our teams globally. Even as we lean into a fast start in 2025, I want to make sure that, we reflect quickly on what team Heidrick accomplished in 2024. In full candor, the year offered plenty of opportunities for soft performance. Not only were there divisive elections and complex economic conditions in many of our major markets, but we engineered substantial leadership changes across much of the business. Rather than being distracted, our team stayed focused on driving client impact, delivering results which accelerated throughout the year. That said, we know our work is just beginning. Going forward, in simple terms, we are focused on rapidly achieving the long-term targets we set out at our recent Investor Day. With all our success, we know there is plenty of work ahead. Now let's turn to a discussion around the strategic initiatives we have in place to drive that scaled growth and profit. We described these in-depth at our Investor Day. For those who missed it, we put the webcast on our site. Let's start with the table. It's no secret that, the single most critical factor driving corporate and organizational performance is having the right leaders in the right roles leading in the right way. And this recognition creates a huge addressable market for us. With our world-class professional colleagues, supported by our distinctive brand, powerful technology, and valuable intellectual property, we have a strong platform to grow and scale and impact. To accomplish this, we've been moving forward with three strategic priorities, each of which are centered on building differentiated, deep, and durable client relationships. First, to be the most trusted leadership partner to the C-suite and the Board. We believe that, our focus on leadership talent differentiates us. We remain committed to consistently growing our executive search and assessment capabilities, which are the cornerstone of our enterprise. This work not only immediately inflects client performance, but it also gives us unmatched access to leaders and their priorities, allowing us to build valuable insights and datasets. As an example, our annual CEO and Board monitor digest feedback from more than 900 CEOs and Board Members. This year's work points to deep boardroom concerns about political and economic volatility. Unsurprisingly, it also clearly points to areas, where our teams can have a differentiated conversation and drive immediate client impact. Our second priority is to help clients lead transformation in the new world of leadership. As we shared at Investor Day, relationship size and stickiness correlates strongly with our ability to support clients in multiple ways. This isn't some boiler room cross selling effort. It's leveraging the access and insight of our exceptional consultants to accelerate client performance in new ways. We enjoy a substantial tailwind in this work. Every leader in every role in every industry, has a transformation mandate. It might be to leverage AI or enter new markets, or drive cost advantage. Regardless of the destination, this transformation invariably requires new ways of leading and often new leaders, and creates a great opportunity for us to partner with them to drive exceptional outcomes. Here's one recent example. The CEO of a major industrial company based in the U.S. was driving a substantial transformation of their portfolio, spinning off several businesses and tightening their corporate focus. While the new structure made great sense on paper, the proof of the transformation would only come by converting the potential of the new structure, into sustained high performance. They turned to the leadership of Heidrick Consulting's purpose, culture, and performance team to create a plan to align teams globally against the new strategy and drive focus on key outcomes. As you might guess, this work progressed quickly in some areas, leading to sharp performance upticks, but it stalled in others for reasons that are all too common. The new performance goals pointed to some gaps in the company's ability to execute on its strategic agenda. As always, these stalls weren't just a will issue, but were a result of some real gaps in the necessary skills on the client team, such as innovation and technology leadership. This gave our Heidrick on demand team the opportunity to step in with a seasoned interim CIO to accelerate the change effort. As you'd guess, this client has quickly become a major client for Heidrick, drawing from various parts of our firm to augment leadership and sustain performance. But more importantly, we help the client quickly mobilize more than 10,000 colleagues to deliver on the promise of a more focused strategy. The point is that, we grow larger and more impactful client relationships, by linking our work to ambitious client goals. The great thing about this business attribute is that, every economic and/or paradigm shift creates a need for new leaders and innovative leadership approaches. These long-term secular tailwinds are likely to keep expanding, giving us an incredible boost in growing our client impact. Third priority is innovating to create continuous engagement with clients. In our work with leading CEOs, Boards, and Chief People Officers, we continue to see an important team emerging. Leadership and talent decisions are becoming an always on activity. This shouldn't be surprising. There has been a step function increase in annual report language devoted to the economic importance of talent, culture, and succession. Historically, the process for managing this risk has lacked consistency and rigor. We don't expect every company to change how they work overnight, but we also can't imagine a world in which a topic, as important as top of the house leadership will be a continued afterthought in ongoing corporate management. And we know that embedding this work at scale in companies, will require just the type of at scale tooling that our digital investments are targeting. In sum, as we confront a volatile market, we see enormous opportunities to grow our impact on clients, and thereby our business. We're pleased with our performance in 2024 and see opportunity for even higher performance in 2025 and beyond. Stepping into 2025, we have a clear roadmap for executing on our strategy of creating differentiated deep and durable client relationships, which create unrivaled value for clients, colleagues, and shareholders. With that, I will now turn the call over to Nirupam, who provide a detailed review of our financial performance and outlook.
Nirupam Sinha: Thank you, Tom, and it's a pleasure to be joining the call today. I'm excited to be stepping into the role of CFO at Heidrick. The opportunity is particularly attractive given the strong foundation the company has built, and what I believe can be delivered for clients, employees and shareholders in the future. And starting in January, the transition has gone smoothly. I'm grateful for the support from Steve Bondi, the finance leadership team as well as Tom and the entire leadership team. Today, I'll provide an overview of our fourth quarter results, for which we're pleased to report that, our organic revenue growth exceeded the high-end of our outlook. Our solid Q4 financial performance reflects positive demand trends across all our services, underscoring the effectiveness of the strategic priorities we're executing. This performance provides us with a strong starting point for 2025. Looking at our performance on a consolidated basis, fourth quarter revenue reached $276.2 million, marking a 9.1% increase compared to Q4 2023. Adjusted EBITDA was a solid $26.1 million and adjusted EBITDA margin was 9.5%. We're also pleased with our full year 2024 results in aggregate, which had us at $1.1 billion in revenue, marking a 7% increase versus 2023 and adjusted EBITDA of $111.2 million with a 10.1% adjusted EBITDA margin. From an operating expenses standpoint, salaries and benefits increased 19.4% from the prior year quarter. Fixed compensation improved by $5.5 million in the fourth quarter of 2024 due to the deferred compensation plan and lower talent acquisition and retention costs, partially offset by increases in base salaries and payroll taxes, as well as retirement and benefits. Variable compensation increased $34.8 million due to an increase in consultant productivity. As a percentage of net revenue, salaries and benefits was 65.3% versus 59.7% in the year ago period. The step-up was due to bonus ramp up of accruals as the year progressed. For full year 2024, salaries and benefits as a percentage of revenue was 65.1 versus 63.9% in full year 2023, and we expect the normalized run rate to continue in the 65% range. General and administrative expenses improved by $4.7 million or 10.5% versus the year ago period to $39.4 million. As a percentage of net revenue, general and administrative expenses improved 310 basis points from the year ago period to 14.3%. The improvement in dollars versus the year ago period is primarily due to bad debt, taxes and licenses, intangible amortization accretion and the use of external third-party consultants, partially offset by increase in IT and professional fees. In addition, fourth quarter G&A include a fair value burnout adjustment, which is excluded from our adjusted results. With respect to R&D, we continue to invest in the future of Heidrick. At the core of this investment are technology platforms and IT that will power all our businesses, including search, Heidrick Consulting and our digital product portfolio. R&D expense in the fourth quarter was $6.1 million or 2. 2% of net revenue. Now, let's turn to each of our businesses for further details. In executive search, revenue grew 10% to $2.25 million. Looking at our regional performance, compared to the prior year quarter, we saw revenue increases of 11.1% in Americas, 8.1% in Europe and 7.6% in APAC. As you know, we have a diversified practice platform with great client engagement. During the fourth quarter, we saw outperformance by the financial services, healthcare and life sciences, industrial and global technology and services practice groups. Consultant productivity annualized in the fourth quarter at 2 million compared to $1.8 million on the same basis in the year ago quarter. And we saw increases in confirmations and average revenue per executive search. We're also very pleased with executive search making strong profitability, with adjusted EBITDA of $50.5 million and adjusted EBITDA margin of 25%. Turning to On-Demand Talent. Revenue increased 3% to $42.3 million marking a continued outperformance amid the market dynamics across the temporary staffing space. In fact, according to trade organization SIA staffing, industry revenue is projected to drop another 10% in 2024. We saw increases in average contract values, reflecting longer duration projects along with higher values on extensions. On-Demand Talent reported an adjusted EBITDA loss of $1.2 million. As Tom mentioned, we see significant opportunities to continue growing this business. This addresses an urgent client need and enhances our ability to serve clients comprehensively. We're continuing to foster innovation in our products and services as we pivot and accelerate growth, particularly on the interim talent side of our On-Demand business. Looking at Heidrick Consulting, we saw fourth quarter organic revenue increase 11.5% year-over-year to $31.3 million driven by increases in leadership assessment and development engagements, along with purpose, culture and performance. The strong revenue growth in the quarter unlocked higher tiers in our bonus structure, which resulted in increased variable compensation in Q4. While this impact led to an adjusted EBITDA loss of $1.8 million for the quarter, it's a reflection of our success in driving performance and aligning rewards with achievement. Moving forward, we expect to offset these costs with continued growth and efficiency gain, as we refine and simplify Heidrick Consulting's offerings and focus on its core strengths. Before I turn to the bottom-line performance, I also want to note, we reported a non-cash goodwill impairment charge of $43.3 million in the fourth quarter related to our On-Demand Talent business. Excluding this unusual item and earn-out after value adjustments, adjusted net income for the quarter increased 54.2% to $22.9 million. 2024 fourth quarter adjusted diluted EPS was $1.08 with an adjusted effective tax rate of 22.8% compared to adjusted diluted EPS of $0.72 in the same quarter last year. Unusually lower adjusted tax rate in Q4 was due to the utilization of foreign tax credits. On an apples-to-apples basis with the year ago period and applying last year's tax rate, our adjusted diluted EPS would have been $0.84. As a reminder, moving forward, we expect our tax rate in 2025 to temporarily be around 35%, driven by the non-deductibility of acquisition earn-out costs. However, once these acquisition costs earn-out, we expect our tax rate to be back in the low 30% range, assuming no other statutory tax changes. Now, I'll turn to the balance sheet. We ended the fourth quarter with a strong cash position of $563 million, up $85 million from December 2023. The improvement was mainly driven by payments for earn-outs and acquisitions, which we did not have in 2024. As discussed previously, our cash position typically builds through the year as employee bonuses are accrued. Employee bonuses are paid out in the first quarter along with their associated tax related costs. A strong cash position with no debt along with our accordion credit facility, gives us great strength and flexibility to execute our strategic plan to return capital to our shareholders. Turning to our outlook. We continue to see good demand signals with strong fundamentals supporting all our businesses. Therefore, we expect first quarter revenue to be within a range of $263 million to $273 million. This compares $265.2 million in of 2024 and we believe positions us well for 2025. Additionally, we expect adjusted EBITDA margin expansion for full year 2025 and expect the majority of this improvement to materialize in the back half of the year. In summary, we're pleased with our solid performance in the fourth quarter and fiscal year 2024, highlighted by strong organic revenue growth, which is especially promising in the continued progress we're making in building and enhancing a comprehensive portfolio of solutions that addresses our clients' most pressing needs. We believe this strengthens our total offering and importantly amplifies our impact in executive search. We feel we are well-positioned for future success to adapt to dynamic market demands and drive meaningful value for our clients, employees and shareholders. With that, operator, if you could please open the lines. Tom and I would be happy to take questions.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Tobey Sommer with Truist Securities. Your line is open.
Tobey Sommer: Thank you. I'm curious in the outlook, you mentioned political economic uncertainty. What are you hearing from customers more sort of year-to-date or over the last six weeks about confidence, launching new products, entering new markets and entertaining the kind of business activities that often spur volume for search?
Tom Monahan: Hi, Tobey. It's Tom. Yes, I've been out with clients in several of our key markets, over the past few weeks. And in general, volatility and change creates opportunity for us. People ask questions around do I have the right leaders in the right roles, am I doing the right stuff, am I working in the right way. So what we've seen so far and obviously this can change, but is when we do our job of staying very close to clients and are really attuned to how the environment is creating need for them. We can do a great job converting that into growth for our business. And that's what we've seen so far. Obviously, it's a volatile world, but it's our job to partner with them through that.
Tobey Sommer: Right. How are you thinking about managing your own internal sales generating headcount across the different businesses? Are you feeling inclined to grow those individuals and kind of have a bigger headcount throughout the year? How are you managing that?
Tom Monahan: Yes. You saw the targets we gave at Investor Day for long-term growth in the businesses. And I think what you'd see over any period of time and obviously there'll be quarters and years where macro affects it, but think of those as in general kind of roughly the headcount targets we need to have. This is a professional services business. We'll get some leverage from technology. We'll get some leverage from our senior people getting more productive. But as we showed you at Investor Day also, no matter how you cut it, new headcount is dilutive to overall productivity. So we think -- we work like crazy on that, but I suspect our view is, we're going to grow headcount at roughly the levels that we projected revenue growth in at Investor Day and try to take advantage, when markets allow you to hire great people.
Tobey Sommer: Thanks. I'll sneak one more if I can. Are there from a geographic and industry vertical perspective areas you would call out, as pockets of strength and or the inverse?
Nirupam Sinha: Hi, Tobey. It's Nirupam. Happy to take this one. We've seen it pretty strong across the board to be honest. We've seen a lot of momentum in North America. Obviously, a business like ours, we have -- we in North America do strong. We're seeing that. We're also seeing that across the board in terms of our geos. There isn't one that I'd call out that's slower. Europe, in general, I think a little bit more just kind of cautiousness across the Board. But generally, we haven't seen any sort of change in the mix. From an industry standpoint, same thing. I think we'll have seen in '24 consumer confidence were a little bit, maybe not as robust in that sector, but everything else was pretty strong and we've seen that momentum continue as we start 2025.
Operator: And your next question comes from the line of Kevin Steinke with Barrington Research. Your line is open.
Kevin Steinke: Thanks. You mentioned in your prepared comments, I believe that, you expect adjusted EBITDA margin expansion in 2025, and I believe you highlighted the second half of the year. Can you just talk about the drivers there of that anticipated margin expansion?
Nirupam Sinha: Hi, Kevin. It's Niravam. So I think with the perspective of full year margin expansion, we do think that, we'll see more in the back half of the year. We expect this to come from our non-search businesses, as we continue to execute on our strategy of planning our offerings, aligning them better client needs. For us, as you know, in the non-search businesses, it's around just getting a little bit more consistent performance and getting more leverage up the shared corporate costs. So it's going to be the non-search businesses. I think we view search as sort of in a healthy margin profile and you'll see that align with the long-term guidance we gave at Investor Day.
Kevin Steinke: Okay. And related to that, I believe, when you're talking about Heidrick Consulting, you talked about the impact of variable compensation in the fourth quarter, but you mentioned looking to offset that in the future, and I don't know if you could dig into that statement a little bit more?
Tom Monahan: Yes, sure. I think going forward with our Heidrick Consulting business, we'll continue to see that leverage from the corporate costs. I think from the variable cost component, we had good performance in Q4. So you'll notice that Q4, in some ways there was a little bit of a catch-up going on for the full year. And so, for us, I think we see that, kind of have happened. And so going forward, we don't see any material sort of changes around that.
Kevin Steinke: Okay, thanks. And then, have you built any meaningful impact from currency into the first quarter 2025 revenue outlook?
Nirupam Sinha: No. From a constant-currency basis as we ended 2024, there was very little impact in 2024. So we have not factored anything above usual as we look at 2025.
Kevin Steinke: All right. I will leave it at that for now. I'll turn it back over.
Operator: And your next question comes from the line of Marc Riddick with Sidoti. Your line is open.
Marc Riddick: Hi, good evening. I wanted to touch a little bit on a couple of potential catalysts that you may be looking at and maybe what you're seeing. I was wondering maybe you could talk a little bit about, if you're seeing much in the way of levels of C-suite turnover, and sort of whether or not what you're seeing currently is consistent with what you've seen historically or whether it's a little more active than normal?
Tom Monahan: Look, I think there's two component parts there. One is how much C-suite turnover is there and how much are we winning, right? For some of the roles, we can judge that. I don't think you're seeing huge spikes or huge dips. It's been pretty consistent when we look at the rules we can understand. I think our teams are doing a great job being in front of clients and really understanding what they need in winning business. So I think that, I don't know that, there's a macro trend other than great client engagement by our teams and great retention and engagement of our teams.
Marc Riddick: Okay, excellent. And then, I was wondering if you maybe this is a little too early, but I'll ask it anyway. From a standpoint of a world of lower U.S. Federal Government spending and some of the things that we're seeing in the headlines, are there any specific areas that you think might lead to opportunities for you going forward? Should some of those needs be either outsourced or taken on other levels on state and local level, things like that?
Tom Monahan: Sure. I'll start at the headline, which is a completely immaterial part of our business is federal. So we're just not exposed to that sector at all. Look, I think rather than specific roles, more broadly change is creating change for our clients. They're asking -- they're looking at their own businesses. They're saying, where do I need new people, new skills? They were already contending with the AI revolution, and now there are different market contexts and different economic contexts. They're asking questions about everything from their pricing structures to their supply chains. And if we're close to them, pretty much all of those conversations end with I probably need different people or new people or people to get after these new challenges. So we see it more through the lens of our clients and how they show up looking for opportunity. And they're obviously looking at this company-by-company and trying to decide where they think they can play. Invariably, if it's new for them, it's something they help with and we can help them.
Marc Riddick: Great. And then the last thing for me, I know in the past we've talked about the potential catalyst that M&A provides and whether that's full scale or take private situations, carve outs, what have you. I was wondering in the conversations that you've had with those 900 plus leaders or so, it seems as though things are sort of currently on hold, but maybe not necessarily for long. I was wondering if you can share some thoughts, as to at least maybe how your views on potential M&A played a role into your fourth quarter guide range? Thanks.
Tom Monahan: I think the short answer on the guide range, not at all, right? We're deep enough in the quarter that we're just whatever M&A activity is going to catalyze work has come through our pipeline. So, I think that's certainly a factor. It's always a factor, but I don't think we're counting on anything happening that changes that. I think it's a mixed storyline out there. On one hand, there's optimism that, there'll be some regulatory relief and opportunity to do some deals. On the other hand, interest rates are still a little high. So some things that look really attractive at a lower interest rate don't look quite as attractive yet. On the flip side, I would say, when you talk to our PE clients, they've sort of said, ''Our new business reality is operating at slightly higher interest rates than we had to for a long time.'' And we're just -- that's just a business contextual factor which we've accepted as opposed to waiting for some massive shift. So I think across the board, it's not a call on interest rates. Lord knows if I could call interest rates over the long-term, I would never run a company. But what people are saying is, ''We are learning that our businesses can be productive and thrive and grow and we can make decisions in different interest rate environments.'' Whereas the initial onset of higher interest rates a few years ago, it was a new thing for a lot of companies. Now they're normalizing as part of their business context. I still think there's enough ambiguity out there. No one is going full board, but we also haven't seen particularly in private capital or private transactions, people freeze up entirely.
Operator: [Operator Instructions] And with no additional questions, I would like to turn the conference back over to Mr. Tom Monahan for any additional or closing remarks.
Tom Monahan: Terrific. Thanks so much to everyone for logging and or dialing in today. We're excited to be into 2025 already and we look forward to being out and about engaging with investors, and of course clients as the year unfolds. So if we didn't get to you today, we'll see you on the road.
Operator: Ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.